Operator: Good morning, ladies and gentlemen. Thank you for standing by. Welcome to the High Liner Foods Inc. Conference Call for Results of the Third Quarter of 2025. [Operator Instructions] This conference call is being recorded today, Thursday, November 6, 2025, at 10:00 a.m. Eastern Time for replay purposes. I would now like to turn the call over to Jennifer Bell, Vice President of Communications for High Liner Foods. Please go ahead.
Jennifer Bell: Good morning, everyone. Thank you for joining the High Liner Foods conference call today to discuss our financial results for the third quarter of 2025. On the call from High Liner Foods are Paul Jewer, Chief Executive Officer; Kimberly Stephens, Chief Financial Officer; and Anthony Rasetta, Chief Commercial Officer. I would like to remind listeners that we use certain non-IFRS measures and ratios when discussing our financial results as we believe these are useful in assessing the company's financial performance. These measures are fully described and reconciled to IFRS measures in our MD&A. Listeners are also reminded that certain statements made on today's call may be forward-looking statements under applicable securities laws. Management may use forward-looking statements when discussing the company's investments in acquisitions, strategy, business and markets in which the company operates as well as operating and financial performance in the future. These statements are based on assumptions that are believed to be reasonable at the time they were made and currently available information. Forward-looking statements are subject to risks and uncertainties. Actual results or events, including operating or financial results could differ materially from those anticipated in these forward-looking statements. High Liner Foods includes a thorough discussion of the risks and other factors that could cause its impacted anticipated outcomes to differ from actual outcomes in its publicly available disclosure documents, including its most recent annual MD&A and annual information form. Please note that High Liner Foods is under no obligation to update any forward-looking statements discussed today. At the close of markets yesterday, November 5, High Liner Foods reported its financial results for the third quarter ended September 27, 2025. That news release, along with the company's MD&A and unaudited condensed interim consolidated financial statements for the third quarter of 2025 have been filed on SEDAR+ and can also be found in the Investors section of the High Liner Foods website. If you'd like to receive our newsletters in news releases in the future, please visit the company's website to register. Lastly, please note that the company reports its financial results in U.S. dollars, and therefore, the results to be discussed today are also stated in U.S. dollars, unless otherwise noted. High Liner Foods' common shares trade on the Toronto Stock Exchange and are quoted in Canadian dollars. I'll now turn the call over to Paul for his opening remarks.
Paul Jewer: Thanks, Jen, and thank you all for joining us on today's call to discuss our results for the third quarter. I'm joined today by our Chief Financial Officer, Kimberly Stephens; and our Chief Commercial Officer, Anthony Rasetta. Before I get started, I would like to take a moment to welcome Kimberly to our first earnings call as our newly appointed CFO. Since joining us 3 years ago, Kimberly has been essential to the success of High Liner Foods. She's a demonstrated leader with over 2 decades of financial experience and her qualifications, combined with her deep understanding of our business, position her well to step into this role. Turning now to the quarter. I will start by addressing head on that our financial results for Q3 came in below expectations for what we know our business can deliver and frankly, what we were expecting we would deliver for the third quarter. However, even in a challenging quarter, there were many bright spots as we gained [indiscernible] share, advanced innovation and progressed our strategic initiatives. Our operating momentum was unfortunately overshadowed by macro headwinds. When I spoke to you in August, I highlighted the pressures from rising raw material costs and tariffs as well as challenges associated with shifting and uncertain trade policies. These pressures persisted in the third quarter, during which we worked through difficult but constructive pricing conversations with our customers. Progress has been made but it takes time for higher pricing to flow through, particularly in retail, where pricing adjustments have a longer lead time. As a result, while some cost increases have been successfully passed through, much of the benefit is yet to fully show up in our financial results. Tariffs were a major factor this quarter but they weren't the whole story. Several macro headwinds converged at once, the accelerating inflationary environment plus rising seafood prices, particularly on cod and haddock as well as consumer price sensitivity and a prolonged slowdown in foodservice. I don't want to understate the impact of these macro headwinds. Combined, they put significant pressure on margins as reflected in our results. However, nor do I want to overstate these challenges because these are all temporary market dynamics. The results this quarter are not a reflection of the strong underlying demand for our branded and value-added frozen seafood where some of our most popular products are the fastest-growing SKUs in retail at premium and value price points. They also do not reflect the strength of our customer partnerships, which are resulting in successful promotional campaigns and consistent recognition we received from leading suppliers and operators who continue to seek out the solutions we offer. We have proven our ability to navigate more challenging market conditions in the past, and I don't doubt our ability to do so once again, particularly because in parallel, we are executing on a series of initiatives designed to strengthen our long-term growth opportunity. including innovation, which is a critical growth lever for us and an area where we have been steadily building bench strength, leadership and R&D capabilities to continue to win with near-term innovations with our current brands while exploring the potential to expand into new areas of the market. This includes our upcoming fully cooked product line that will open us up to a largely untapped market for frozen seafood in North America and remove one of the most cited barriers for seafood consumption, convenience. We are excited by the solution our fully cooked line offers. It will make it easier for operators to put seafood on the menu and consumers to choose seafood more often. You'll hear more about this from Anthony shortly. Brand integration of our 2 new brands, Mrs. Paul’s and Van de Kamp's, is going very well, and we are ahead of schedule on our integration plans, having built out our sales team, met with all key new and exciting and existing customers, advanced plans for renewed investment in both brands and continue to identify cross-selling opportunities as we leverage more of our best practices and capitalize on new retailer relationships. And we have also been executing on plans to modernize and automate our plants. During the third quarter, we completed the installation of new packaging technology. And although necessary downtime temporarily reduced efficiencies, we are realizing the benefits of this investment in terms of labor savings and plant performance. The cost of these continuous improvement initiatives across our plants is necessary to optimize efficiencies and enhance our profitability. While we continue to manage through market headwinds, we are taking the right actions to ensure this period of compression is short-lived through continuous improvement initiatives across our supply chain, prudent cost control and ongoing negotiations on pricing with our customers and suppliers. These actions, together with the investments we are making now in automation, innovation and brand positioning are essential to deliver sustainable margin expansion and profitable growth as market conditions normalize. From a capital allocation perspective, we are well positioned and a modest increase to our dividend underscores the Board's confidence in our business and our capacity to return capital to shareholders while investing in our business, balance sheet and future. With that, I will hand the call over to Kimberly to discuss our financial performance.
Kimberly Stephens: Thank you, Paul, and hello, everyone. As Paul mentioned, our third quarter results were challenged due both to a combination of macroeconomic factors and a period of intentional investment in our business. We also experienced accounting impacts related to the integration of the 2 brands we recently acquired from Conagra, along with certain nonrecurring expenses and the impact of foreign exchange. Regarding our acquisition of the Conagra brands, the inventory we acquired in the transaction was recorded at fair market value, which is higher than what it cost to produce. As we sold through some of this inventory in Q3, we saw a temporary noncash impact of approximately $2.5 million on our gross margin. It's important to note that this impact is a standard outcome of purchase accounting, and it does not reflect the underlying strength of these brands. We expect margins to normalize once the acquired inventory is fully sold through by the end of the year. Looking at our financial performance for the quarter. Sales volume decreased in the third quarter by 1 million pounds or 1.8% to 55 million pounds compared to 56.8 million pounds in the third quarter of 2024, due mainly to customer and consumer pullback and uncertainty related to the global trade environment as well as the timing of the United States Department of Agriculture USDA contract. Sales increased in the third quarter by $19.7 million or 8.6% to $248.6 million compared to $228.9 million in the same period last year, driven by increased pricing, reflecting the inflationary markets. Gross profit decreased in the third quarter by $2 million or 4.1% to $46.3 million and gross profit as a percentage of net sales decreased by 250 basis points to 18.6% as compared to 21.1% in the third quarter of 2024. The decrease in gross profit is driven by the increased expenses related to the introduction of tariffs on seafood imported into the U.S. and higher raw material pricing on select species as well as targeted promotional activity and the negative impact of foreign exchange. Gross profit was also impacted by the increased cost of inventory related to the Conagra Brands acquisition, resulting in the temporary margin contraction as the company sells through this acquired inventory. Plant utilization was temporarily impacted by lower volumes during the quarter, compounded by planned downtime related to automation upgrades intended to drive further efficiency gains. Adjusted EBITDA decreased in the third quarter by $6.3 million or 29.3% to $15.2 million compared to $21.5 million in the same period in the prior year, and adjusted EBITDA as a percentage of sales decreased to 6.1% compared to 9.4%. The decrease in adjusted EBITDA reflects the decrease in gross profit previously mentioned as well as planned expenses related to the advancement of strategic initiatives and innovations across the business, along with certain corporate level costs tied to termination benefits and foreign exchange losses. Reported net income decreased in the third quarter by $13.5 million or 73.8% to $4.8 million, while diluted earnings per share decreased to $0.16 compared to $0.61 in the prior year. The decrease in net income reflects the decrease in adjusted EBITDA, as previously discussed, as well as the finance income recorded in the third quarter of 2024 as a result of the long-term debt modification as compared to the net expense in 2025. This is partially offset by lower income tax expense. Including the impact of certain nonroutine or noncash expenses that are explained in our MD&A, adjusted net income in the third quarter of 2025 decreased by $1.5 million or 26.8% to $4.1 million. Adjusted diluted earnings per share decreased $0.14 from $0.20 in 2024. With regards to cash flows from operations and the balance sheet, net cash flows from operating activities in the third quarter of 2025 decreased by $38.4 million to an outflow of $25 million compared to an inflow of $13.4 million in the same period in 2024. The decrease is primarily driven by lower cash flows from operations and unfavorable changes in nonworking capital balances, specifically an increase in inventory balances compared to a decrease in the prior year as well as higher taxes paid. Including the $21 million of intangible assets and property, plant and equipment that we acquired as a part of the Conagra Brands acquisition, capital expenditures were $34.5 million in the first 3 quarters of 2025 compared to $17.2 million in the prior year, reflecting the continued investment in our business. Net debt at the end of the third quarter of 2025 increased by $100.2 million to $333.4 million compared to $233.2 million in the end of fiscal 2024, reflecting higher bank loans and a lower cash balance, partially offset by lower long-term debt and lease liabilities at the -- as at September 27, 2025, as compared to December 28, 2024. Net debt to adjusted EBITDA was 3.5x at September 27, 2025, compared to 2.3x at the end of 2024. We expect the ratio to be above the company's long-term target of 3x by the end of the year due to the recently announced Conagra brand acquisition and the higher inventory levels due to opportunistic buying ahead of the increased raw material costs. While a lot of uncertainty remains in the market, we have a proven track record of successfully navigating short-term headwinds. As Paul mentioned, we are taking decisive actions across our business today to improve our performance, and we feel confident that these steps, combined with our balance sheet, strength and diverse global supply chain will help mitigate the short-term challenges and strengthen our position in 2026. I will now pass the call over to Anthony to discuss our operational highlights.
Anthony Rasetta: Thanks, Kimberly, and hello, everyone. You've heard from Paul and Kimberly why our financial results this quarter did not reflect the underlying strength of our business. However, from my vantage point, there's a lot to feel good about in terms of the progress we are making. And that's because as I interact with our customers, distributors, suppliers and support my team in the field, I see the strength of our brand performance, the success of our promotional campaigns and the excitement from our customers as we share new innovations and solutions to make seafood consumption more convenient as a consumer, customer or foodservice operator. Turning to highlights of the quarter, starting with retail. In the U.S., we saw strong performance across our branded value-added product portfolio and market share gains driven by successful promotional activations and expanded distribution. Momentum in our premium Sea Cuisine brand accelerated, and we're proud to say that it is now the fastest-growing brand in the category. Our Tortilla Crusted Tilapia and other innovation continue to perform well in the club channel as these products provide restaurant quality seafood to consumers who are seeking value and trading down from dining outside the home. Momentum on Fisher Boy, our value-oriented product line and our Seaworthy line of Atlantic salmon products also continued as we secured new distribution for these brands amid a challenging and highly promotional environment. Shoppers continue to gravitate toward promotional pricing given the impact of high inflation, a trend we expect to continue in the coming quarters. We made good progress integrating Mrs. Paul's and Van de Kamp's brands into our business and the timing positions us to be able to leverage our in-depth expertise around optimized price, packaging and promotional strategies in time for lent. We're also preparing to launch the popular Shark Bites product in the club channel for the first time next year, benefiting from the insights and relationships we have developed as we have significantly expanded club distribution over the past few years. We are developing relationships with a new base of national retailers and are excited to leverage these new connections to expand distribution of our core portfolio in the coming quarters. In Canadian retail, the market remains highly competitive and value-driven. During the third quarter, we grew significant market share in both dollars and pounds across all major segments. This was largely driven by increased demand for our branded value-added products, including growth in our premium Pan-Sear Selects and Signature Cut brands, which provide restaurant-inspired products across species to suit a wide variety of consumer tastes. While we expect the environment in Canada to remain promotionally driven in the near term, we are focused on demonstrating our value proposition to customers and consumers to compete on overall value versus price alone. We are encouraged by our ability to gain share in the quarter, and we're prepared to balance volume and price to support profitable sales growth moving forward. As we look ahead to 2026, we believe sustainable category growth across North America will be driven by a combination of strategic promotional activity and innovation focused on premium and health-conscious meal solutions, and that's exactly where we're focused. Now turning to Foodservice, where inflation-driven headwinds continue to impact demand across the industry, contributing to lower volumes in the quarter. We also faced a tough comparison as we're lapping a meaningful amount of USDA contract manufacturing volume that we produced in Q3 last year, but did not repeat this quarter. That said, we've secured a larger USDA award that will begin supporting volumes in the fourth quarter and throughout 2026. Despite the challenging inflationary environment, our consistent execution allowed us to gain market share on volume during the quarter, and we continue to be the top value-added seafood manufacturer in the category. Our ability to lead the category is grounded in the strong partnerships we've built with major distributors. During the quarter, we were recognized by Sysco Canada as a top 10 supplier Excellence Award recipient this year with more than 500 suppliers evaluated across criteria, including sales growth, innovation, quality and service. This recognition underscores the strength of our partnership and our ongoing focus on delivering reliable value for our customers. We were also awarded the Gordon Food Service Cornerstone Partner Award in the U.S., recognizing us as a top-performing supplier partner, demonstrating excellence and delivering outstanding value to customers. In particular, the quick service restaurant channel continued to be a bright spot during the quarter given consumer continued focus on value. We were once again able to leverage partnerships with key customers to grow our market share driven by growth in value-added Pollock, a locally sourced species offering the best value and strong supply in whitefish. We also saw gains in casual dining, where our products are providing operators with consistent, easy-to-prepare solutions at the right price. Salmon, a key growth species for us, performed well and drove gains in our noncommercial sector, particularly in hospitals. While we expect the foodservice category to remain under pressure in the near term, we're monitoring price gaps, species dynamics and channel bright spots to continue the momentum in our branded value-added portfolio and drive category recovery. As Paul mentioned, there's an exciting market opportunity in the outlook for North American frozen seafood. Global demand for sustainable nutrient-rich protein is rising. However, seafood remains underdeveloped when compared to other proteins such as beef and poultry. Our goal is to grow the category by redefining how seafood shows up on the plate and create a scalable platform for long-term value creation. We are making investments now that we are confident will have long-term benefits, both in terms of our core portfolio and new innovations such as our line of fully cooked products, which have great potential. These investments are grounded in consumer insights and will serve to contemporize the category and appeal to the next generation of consumers. We're very excited to soon bring our fully cooked solutions to market as these products will allow us to deliver easy to execute and prepare solutions to untapped channels with particular focus on convenience stores and new noncommercial channels. With Q1 on the horizon, we're readying for lent by building on what we have learned from our targeted promotional and pricing strategies from the past year, leveraging what worked well and integrating exciting new product lines to drive profitable top line growth and category recovery. With that, I'll hand the call back to Paul for his concluding remarks before opening the call for Q&A.
Paul Jewer: Thank you, Anthony. I echo Anthony's sentiment that our teams are executing well, and we are encouraged by the commercial momentum we are seeing across the portfolio despite the current macro pressures. Our priority is to ensure this continues hand-in-hand with appropriate pricing and cost control to regain margin strength over time. I'm confident that you'll start to see improvement in our results in the fourth quarter but unfortunately, not enough to deliver year-over-year adjusted EBITDA growth for the full year. While this is not the way we wanted to close out the year, we are acting now to support stronger performance and renewed momentum as pricing actions take hold, efficiencies build and innovation gains traction. My confidence in the long-term outlook of our business is supported by our over 125-year history as a leader in the North American frozen seafood industry, during which time we have demonstrated our ability to navigate short-term headwinds while maintaining robust free cash flow generation and a strong balance sheet. We are meaningfully investing in our business to drive profitable growth, expand the seafood category and build for the future. As category dynamics normalize, we expect the benefits of these actions to become increasingly visible in our results. With that, operator, please open the line for questions.
Operator: [Operator Instructions] Your first question comes from Yochim of BMO Capital Markets.
Nevan Yochim: Looking to understand the volume decline a little bit better in the quarter. If we exclude the volumes associated with your recent acquisition, how should we be thinking about the organic volume decline in the quarter? And then can you provide some detail on volume growth by retail and foodservice relative to their respective categories?
Paul Jewer: Yes. So volume decline in the quarter, as we mentioned earlier, was primarily driven by the decline in our USDA business. So you see that show up in the Foodservice segment, as you mentioned, Nevan. So that really is the -- from a volume perspective, the most significant impact. Still a little softness in foodservice overall, given what we're seeing in terms of the macro environment there. Nothing we would highlight significant on the retail side.
Nevan Yochim: And would you be able to parse out the benefit that you received in the quarter from your recent acquisition?
Paul Jewer: Yes. Essentially, there was no net P&L benefit from the acquisition because as Kimberly identified, unfortunately, due to the PPA accounting, we weren't able to recognize about $2.5 million of margin on acquired inventory. So it was a nominal P&L impact in the third quarter related to the acquisition as a result.
Nevan Yochim: Great. Understood. And then just digging into price and mix a little bit here. If my math is correct, that was around 10% this quarter. Can you parse out those 2 components between the price and the mix? And then maybe talk about your expectations for raw material price inflation as well as your ability to pass through those costs to customers in the fourth quarter?
Paul Jewer: Sure. Yes. I mean the biggest impact on margins related to pricing or mix was associated with not being able to fully pass on the tariff and raw material price increases, particularly in cod and haddock quickly enough in the market. As we highlighted, that's more of a challenge in retail than foodservice but it was certainly an impact in the quarter. That impact was approximately $2 million in terms of not being able to -- that's the net impact of not being able to fully pass on the COGS in pricing. Mix would have actually been a slightly positive impact actually on margin because of the fact, as I mentioned earlier, we had lower high-volume USDA business than we had a year ago. And our branded value-added portion of our portfolio performed well. So that actually is positive from a mix perspective, but offset by the volume decline and the pricing net of COGS impact that I just referred to.
Operator: Your next question comes from Luke Hannan of Canaccord Genuity.
Luke Hannan: Paul, I wanted to go back to the topic of pricing. And you talked about in your prepared remarks during Q3, you had those conversations with retailers, and it's increasingly, it was more difficult to be able to pass along that price. I want to get a better understanding of the trend through Q3 and Q4. So it sounds like you've taken price not enough to fully offset the inflation that you're seeing in raw materials. But is the expectation that eventually there will be a catch-up? Or are you planning on internalizing that, we'll call it the $2 million net impact that you saw during the quarter? Is the plan that you're just going to internalize that impact going forward?
Paul Jewer: No. Certainly, our plan is not to internalize that impact. And as we look at the fourth quarter, we expect a better outcome in that regard than what we had in the third. But it will still take more time to fully get it passed through. And our goal is not to have to pass it all through, right? As we also highlighted, we're working hard on efficiency opportunities in the plan and cost-saving opportunities within our business. And we don't just negotiate with our customers in terms of having to pass on price. We also, of course, negotiate with our suppliers to try to avoid where we can some of the raw material cost increases. We also are watching closely the -- what I'll call the bouncing ball on tariffs. We've seen a little bit of relief in some countries over the last number of weeks. So we'll remain hopeful that we may see a bit more relief there as we look forward. But no, I mean, what we've demonstrated over time is our ability to be able to manage margin through passing on price. It's unfortunately, sometimes like this quarter, it can take a little longer for it to materialize, but that is certainly still our intent.
Luke Hannan: Okay. And then just following up on that as well. So what is the typical sort of lag when it comes to identifying or announcing that you're going to be doing a price increase before it actually takes place? And is this complicated or lengthened at all because of the holiday period?
Anthony Rasetta: Luke, it's Anthony. Yes, I think as Paul mentioned, in foodservice, we price more frequently and have a quicker cycle and our overdevelopment there allows us to pass that on more quickly. We tend to do that monthly. In retail, it tends to be about 90 days that customers are looking for in terms of increase. So with the volatility in costs and tariffs, that can become a bit more challenging. And you're right, as we go into the holiday period, there can be blackout periods at times, which means that some of the pricing will hit kind of later in the first quarter.
Luke Hannan: Understood. So on the price increases that you've taken thus far earlier in Q3 before there is that blackout period, has there been a discernible volumetric impact, I guess, associated with that? Really, what I'm trying to get at is the consumer, of course, is under pressure. They've withstood price increases over the course of the last year or even longer than that. But has there been a discernible difference in the volumetric impact from any price increases, more of the recent price increases that you have passed through?
Anthony Rasetta: Yes. I think we're starting to see it, Luke. I think the reality of longer inventories in the marketplace and the timing of inventory hitting and the timing of pricing means that we're just starting to see some of those increases, and we are seeing typical elasticity in terms of the consumer reaction on that. So as this price passes through, we do think we'll see some volume impact and hopefully can offset it on top line revenue. And then what we're trying to do, as you would have seen in some of what we talked about on market share gains is smartly reinvesting in some promotional activity so that we can still offer consumers and customers the right value and the opportunities to buy promotionally.
Luke Hannan: Okay. Last one for me, and then I'll pass the line here. Just on SG&A, it was mentioned that there was incremental investments in product innovation, specifically consultants as well. I know innovation is clearly key to helping you guys capture market share across channels, across geographies. How should we be thinking about the magnitude of that investment in innovation over the course of, we'll say, the next -- well, the near term, let's say, the next 3, 6 months or up to a year?
Paul Jewer: Yes. I think there's a couple of areas where we've been investing on the strategic initiative front. One is innovation, as you've called out. The other we mentioned is investment in efficiency and productivity improvements in the plants. The impact of that in the third quarter was about $1.4 million in total of spend. We'll continue to have some of that spend certainly in our fourth quarter. But the reality is when we plan that spend, we plan to offset it with performance on the top line and margin. And unfortunately, in the third quarter, as you saw, we weren't able to offset it. But as we look to 2026, as we continue to invest in the growth of our business, our plans are to have margin performance that will allow us to cover those costs.
Operator: [Operator Instructions] Your next question comes from Michael Glen of Raymond James.
Michael Glen: I just want to clarify with the $2.5 million purchase price accounting, that was -- that completely flowed through the P&L within cost of goods sold in the quarter?
Kimberly Stephens: Yes, it did, exactly. It is a temporary impact as we work through that inventory that we acquired in the acquisition. So we anticipate that in Q4, we'll probably see an additional $1 million as we work through and sell it all. But by the end of the year, we think we'll be past that.
Michael Glen: Okay. So that would be $3.5 million in total then for the year?
Kimberly Stephens: Correct.
Michael Glen: Okay. And just to get some thoughts on, again, the inflation you're seeing on cod and haddock. Were the exit rates on inflation higher? Like how much higher were the exit rates on inflation versus what you saw in the quarter? I'm just trying to sense is how much additional inflation we should expect to come with the Q4.
Paul Jewer: There'll be certainly a bit more on cod and haddock in Q4 as the inventory continues to flow through because that's -- we're not seeing any let up currently on pricing in either of those 2 species just given quota restrictions and therefore, supply availability. So in that case, it's more about effectively pricing for it rather than expecting or building in any anticipation of lower COGS.
Michael Glen: And Paul, can you just maybe unpack like where the price inflation? Is it just simply demand related from other markets external to North America? I'm just trying to understand exactly what is driving up the price in those 2 species.
Paul Jewer: Yes, sure. No, in cod and haddock, it's actually -- it's entirely supply driven. So those species come from Northern Europe, Norway, Iceland primarily. And Norway, in particular, has had lower quota for those species, particularly on cod, part of the reason that haddock has come up in cost is because haddock is a logical substitute for cod as we've seen higher cod prices. So in the case of haddock, it is a bit demand driven in that regard. We would anticipate at these price levels that we'll see some decline in global demand as we look forward. So hopefully, that will allow supply/demand to rebalance a little. And we've taken a number of actions, as you've heard us talk about before, to help mitigate that. One is we've invested in and continue to believe in farm cod. That will be a small but over time, an important contributor to offsetting some of the wild cod pressure. We're supporting the return of the Newfoundland Cod fishery and are selling that product in our Canadian foodservice business, which is a nice new source of supply for us. And of course, we've been working on promoting alternative species. And that is, in our case, Cape Hake and Southern Blue Whiting. But also the reality is important species to us like Pollock and Tilapia are also in a much more favorable price situation than cod and haddock. So we'll continue with the diversity of our portfolio to where we can drive demand to those species that are more favorably priced.
Michael Glen: Okay. And I know there's -- like there is a lot to take into consideration as we look at Q4. Like when we look at that gross margin in Q3, should we just take everything into consideration and expect a similar level in Q4? I'm just trying to gauge where things might drop out.
Paul Jewer: Yes. I think at this stage, what we would suggest is we would expect the decline in Q4 year-over-year on the margin front to be less than it was in Q3 because as we've talked about, we have been effective at passing on price. We've invested in some initiatives that will help us on the cost side. But the reality is it will take us until moving into 2026 to be able to get back to the EBITDA growth year-over-year that we've been focused on delivering.
Michael Glen: Okay. And then my last one is just -- I just want to understand better the decision on the inventory build in the quarter. How quickly -- is there -- and I guess what I'm trying to figure out for myself, is there any raw material pricing risk with that inventory if market prices suddenly drop or if we see tariff relief, does that put some of the amounts in the inventory at risk as well?
Paul Jewer: No. In fact, it would be the opposite. We feel that the investment we've made in inventory as prices have gone up and as tariffs have gone up, position us better on the margin front for 2026. And so we're not anticipating at this stage any risk associated with the higher inventory. In fact, we see it as more of an opportunity, to be honest. And you saw us have to do this when we were building inventory during supply disruptions coming out of COVID, and we were very effective then at moving through the inventory and generating good margin as we move through that inventory. So that's certainly what we'll be working towards doing in 2026 as well.
Kimberly Stephens: And Michael, I would just add that the inventory balance at the end of September also includes the acquired inventory and the additional inventory we're building up for the Conagra Brands in addition to the inflationary pricing that we are seeing as well as, as Paul just mentioned, we're building up ahead of raw material prices increasing next year, so more opportunistic buying. So it's a combination of all 3.
Michael Glen: And for -- are we at the peak level right now? Or should we expect more inventory build in Q4?
Kimberly Stephens: We would expect more inventory in Q4 as we build towards end. And again, both on our core business as well as the acquired business that we just made.
Operator: Your next question comes from Ryland Conrad of RBC Capital Markets.
Ryland Conrad: Just, I guess, starting off on volumes. Is there any way you could kind of parse out the incremental volume that the Conagra brand contributed in Q3, along with maybe the size of the USDA contract last year?
Paul Jewer: I don't have the USDA contract number in front of me. It would be 2 million to 3 million pounds, I think, probably closer to 3 million pounds. And that's a timing issue for us. As you probably saw, we won a USDA bid over the course of the next 12 months that will actually be larger than the previous one. So that's the timing issue. And Kimberly, maybe on the Conagra piece.
Kimberly Stephens: Yes. So actually, with the Conagra Brands, we actually saw an increase of volume this quarter, so about 1.5 million of additional pounds. But again, the unfortunate part is as we work through that purchase price adjustment, it had a negative impact to the gross margin.
Ryland Conrad: Okay. No, that's helpful. And then I believe last quarter, you were expecting kind of low single-digit volume growth for 2025. So are you still expecting to deliver positive growth this year?
Paul Jewer: I would say that the challenge we had in Q3 makes it a little harder to get to volume growth. But as we mentioned, we are anticipating a better performance in Q4 on volume than what we delivered in Q3. So it will be, it will be tight but we're still working on delivering good volume performance in the fourth quarter.
Ryland Conrad: Okay. Great. And then just on capital allocation, the kind of 3% dividend growth was below what we've seen in recent years, which I can appreciate given the current macro environment. But -- could you maybe just provide an update on capital allocation priorities? Like should we expect to see more focus on debt repayment rather than capital returns at this stage?
Kimberly Stephens: Yes, absolutely. I think our priority is also to -- is always to be in that 3x range. And as I indicated earlier, we are above that. So we'll be working towards getting back to a reasonable range as we look to continue looking for M&A opportunities in the future, we need to make sure that we have that capacity. But as we do that, though, we will always balance it between returning capital to shareholders. So as you indicated, we just increased our dividend just shy of 3% this quarter as well as we will continue our share buyback program.
Ryland Conrad: Okay. And then just on the CapEx guidance of $20 million to $24 million this year. It looks like you're certainly trending towards the lower end of that. So is there any step-ups we should expect to see in Q4? And then I guess, more broadly, how sustainable is that kind of CapEx envelope going forward?
Kimberly Stephens: Yes. We are a little bit behind in Q3 in comparison to prior year, but we do have a plan of getting closer to total CapEx spend like we did last year. So I think we're anticipating to be anywhere around $21 million to $22 million by the end of the year. And I think as we continue into 2026, I would anticipate similar ranges anywhere between $20 million to $25 million depending on the projects that we are undertaking.
Operator: There are no further questions at this time. I will now turn the call back over to Paul Jewer, President and CEO. Please continue.
Paul Jewer: Thank you, operator, and thank you for joining our call today. We look forward to updating you with our results for the fourth quarter of 2025 on our next conference call in February.
Operator: Ladies and gentlemen, that concludes today's conference call. Thank you for your participation. You may now disconnect.